Operator: Good morning, and welcome to the Energy Vault Second Quarter 2023 Earnings Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Laurence Alexander. Thank you. Please go ahead, sir.
Laurence Alexander: Thank you. Hello, and welcome to Energy Vault's second quarter 2023 earnings conference call. As a reminder, Energy Vault's second quarter earnings press release and presentation is now available on our investor website and we will be referring to the presentation during this call. A replay of this call will be available later today on the Investor Relations page of our website. This call is now being recorded. If you object in any way, please disconnect now. Please note that Energy Vault's earnings release and this call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only estimates and may differ materially from the actual future events or results to be a variety of factors. We caution everyone to be guided in their analysis of Energy Vault by referring to our 10-Q filing for a list of factors that cause our results to differ from those anticipated in any forward-looking statement. We undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. In addition, please note that we will be presenting and discussing certain non-GAAP information. Please refer to the safe harbor disclaimer and non-GAAP financial measures presented in our earnings release for more details, including a reconciliation to comparable GAAP measures. Joining me on the call today is Robert Piconi, our Chairman and Chief Executive Officer; and Jan van Gaalen, our Chief Financial Officer. At this time, I'd like to hand the call over to Robert Piconi.
Robert Piconi: Great. Thank you, Laurence. I'd like to welcome everyone to our second quarter 2023 earnings call. I'll begin today by highlighting the quarter's main operational and commercial and financial milestones as are more detailed in our earnings release that we announced this morning. First, our priority this year has been and remains our execution to customer commitments on our first projects. Following a 2022 year, which saw a sign enclosed multi gigawatt hour of new customer wins with some of the largest utilities and global IPPs. This year is about executing to those contractual commitments and specifically commissioning and turning over into operation the first system on time, at or above technical performance, and profitably with strong unit economics. Our first results are coming in, and we did not disappoint. Second, and sticking to the theme of execution, deploying our gravity storage technology at scale with the new EVx system. As previously announced, earlier this month the first 25 megawatt, 100 megawatt hours in commissioning phases now, powered renewably by an adjacent wind farm, and will serve the state grid and local towns. Third, continued growth in our commercial activities where our near term sales funnel continues to expand another 27% overall on a sequential quarter-over-quarter basis and with more global diversity and customer base in Southeast Asia, for example, South Africa and Australia, as well as a recent conversion of a 400 megawatt hour project with Jupiter Power from the award category to the booking category in the US as we build the backlog going into 2024. As a reminder, this result follows the prior Q4 2022 to Q1 2023 funnel growth of 40% or 11 gigawatt hour for a total of 21 gigawatt hour growth, representing a little over $7 billion in opportunity in the last six months alone. As a new and emerging high growth company in an attractive and growing market segment, it is important to measure not only the overall size and growth of our funnels I just talked through, but also the velocity and conversion to final contract bookings of the funnel. This past quarter, we had double digit percentage growth in both overall funnel size and bookings growth categories, including almost tripling the growth in progressing proposed projects from submitted proposals to being shortlisted, a category that now totals 7.6 gigawatt hour, which equates to over $2 billion in potential awards alone. Fourth, I'm happy to share continued expansion of our high margin and expanding IP licensing segment of our business as we executed our first territory license for some specific state right here in the U.S. market for future project deployments and new applications of our gravity energy storage technology. These new agreements demonstrate the strength of our IP portfolio and continued innovation to expand applications of our gravity technology. These innovations include advances in structural engineering, material science, and software as well as construction automation, all of which contribute to lowering the initial CapEx cost, while improving the overall economics on a levelized cost basis. And in the case of the U.S. market where we have the benefit of the IRA legislation incentives, we are seeing increasing interest for long duration storage toward renewable fed production of green hydrogen generally as well as for attractive end markets like sustainable aviation fuel, for example. As our gravity energy technology is 100% local U.S. content in any event, we can maximize the various IRA incentives as a non-lithium energy storage medium and long duration technology. Fifth and very importantly, regarding the financial results in Q2, we continue to deliver on the planned revenue ramp, specifically, a triple digit percentage growth in revenue sequentially from $11.7 million to approximately $40 million, while prudently managing our operating expense, cash and expanding our surety capacity with partner Marshh as our project needs grow. While our revenue more than tripled on a quarter-over-quarter basis as projects progress this year, we achieved about 10% GAAP gross margins on battery system rev rec only, while holding our OpEx in check to roughly flat quarter-over-quarter resulting in quarterly improvements in adjusted EBITDA, which is a proxy for our cash generation. And final net income. We expect strong continued improvement sequentially in adjusted EBITDA and net income as we enter an admittedly steep cliff for the second half of 2023, where we expect to jump to triple digit revenue as planned in the coming Q3 and Q4 quarters as we approach final commercial operation dates for US based storage projects, while beginning some others. These coming quarters will represent our largest revenue quarters as a company and as a team, we've relished this opportunity to demonstrate to our customers and to our investors what we are capable of when it comes to profitably scaling this business for growth. As we demonstrated this past quarter was final testing of our first 69 megawatt, 275 megawatt hour system with Wellhead in California at performance levels that met or exceeded our formal contractual commitments. And in less than nine months from contract award, as well as our first field test of our new software and energy management system platform. All of these results represent strong leading indicators of how we expect to perform now in the second half of 2023. In the end, it comes down to the talent, experience and dedication of the people at Energy Vault that are obsessed with delivering for our customers as the most important part of delivering on our mission of decarbonization and enabling a renewable world. The final proof, of course, is not only the numbers, but in the words of our customers. Hal Dittmer, the CEO and owner of Wellhead Electric, was quoted last month in the San Fernando Business Journal that was covering local renewable energy and storage projects. When asked about why he chose Energy Vault as a new company, he mentioned the industry network of people and their experience that we're working at Energy Vault and saying in the end that I quote, there were supply chain issues across the board, but we chose Energy Vault as they were the only company that was able to promise and then deliver what was needed for the project. With that, I'll mention a few other highlights from the quarter before turning it over to our CFO, Jan Kees van Gaalen, who will review the details of the financial results, and then we'll open it up for questions. As noted above, our commercial outlook continues to remain robust with our near term funnel growing by 27% during the quarter to about 48 gigawatt hours. Additionally, we grew bookings by $33 million related to the signing of a licensing and royalty agreement for our Gravity Energy storage technology with a new customer in the United States and a recent 400 megawatt hour contract booking with Jupiter Power as we build backlog for 2024 and 2025. I'm also encouraged by continued geographical expansion and customer diversity, with a recent award from Southeast Asian sustainable energy company for two energy storage projects totaling 500 megawatt hour that we expect to be booked in the second half of 2023 as part of a broader framework to purchase a minimum 27,000 megawatt hours of energy storage in total over the next three years alone. Moving into the latter half of this year, we aim to turn our growing commercial funnel into contracts that bolster our backlog for 2024 and 2025. We are focused on prioritizing contracts with high returns and favorable gross margins that meet our internal requirements. We'll continue enacting strict financial and pricing discipline into everything we do to generate value for the company and our shareholders over the long term, while maintaining our competitive prowess. The proliferation of the energy storage industry and demand that was accelerated post IRA gives us flexibility in the projects and contracts in which we sign to drive both revenue and gross margin expansion. We remain committed to selectively participating in only high growth high margin commercial opportunities. Turning to China, last week, we probably shared that Atlas Renewable and CNTY, China Tianying began commissioning the world's first commercial EVx located in Rudong, [indiscernible] and Shanghai, the 25 megawatt hour 100 megawatt hour GESS system next to a wind farm and national grid interconnection and will enhance China's energy grid using stored renewable energy. Commissioning started in June on its advanced electronics and the new ribbon living system. By Q4, we expect the system to be fully grid interconnected. Building on the success of the EV1 Tower in Switzerland in 2020, there were 75% round trip efficiency that EVx’s enhanced designing for over 80% positioning it at the forefront of energy storage efficiency. There's more on the horizon with over 2 gigawatt hour of EVx deployments planned in China. For example, in June, China Tianying agreed with Wallai County's government to construct another 100 megawatt hour Gravity Storage project in Hubei, aiming to bolster carbon goals and support regional data centers. This partnership underscores EVx's potential, promising high margin returns for Energy Vault. We're eager to assist our partners in realizing more EVx initiatives in the future. Our commitment to global deployment of our gravity energy storage technologies and wavering as we executed our first gravity energy storage license and royalty agreement for the United States with the U.S. based renewable developer for multiple named states. The license only portion of the contract will generate revenue of $33 million, coupled with project royalty streams of 90% gross margin tied to all future project deployments within the name states. Importantly, this agreement allows for the developer to deploy the technology through a new application of the current EVx technology that enables lower initial CapEx and demonstrate the flexibility of the technology to be adapted to various land apologies, pending customer side availability. Over talking about licensing and royalties, our model is central to commercializing our Gravity Energy storage technology and pivotal to our business strategy. This approach enables scalable high margin returns with an expanding revenue stream from continuous high margin royalty and service fees. The model lets us utilize data from diverse assets to refine this technology, boost commercial adoption and strengthen our market position. The model is also CapEx light and asset light, not only fosters, therefore, bottom line growth due to the high margin licensing and ongoing royalties, but also amplify shareholder value as we near positive cash flow. Importantly, it reduces external capital reliance, setting us apart an energy storage solutions provider, especially in today's market. As we look at North America, we’re dedicated to launching the inaugural EVx Gravity Energy storage solution in Snyder, Texas, marking our first commercial demonstration here in North America. Leveraging cutting edge tech and research insights, we aim for cost efficiency to foster widespread adoption globally. The Snyder facility stands as evidence for our potential clients now and in the future where we will implement our latest structural engineering, material science, and software innovations focused on lowering both initial CapEx and thus levelized costs over time. We anticipate an uptick in opportunities to expand the EVx platform in North America, our strategic partner and customer DG Fuels, recently welcomed two Japanese investors and a third, securing $30 million in equity. Given this financing and their DOE loan progress, DG Fuels announced that they plan to initiate construction of their $4.2 billion [SAF] (ph) facility in Louisiana in the first half of 2024. This follows recent public announcements of offtake agreements made by Air France, KLM, Royal Dutch Airlines, and Delta Air Lines, as well as another large energy trading partner that will be purchasing 100% of the production of the Louisiana facility. We're enthusiastic about DG Fuel strides and remain committed to supporting Mike Darcy and his team for fulfillment of their sustainable aviation fuel endeavors. I'd like to touch a little bit on our multi-day and ultra-long duration storage announcement with Pacific Gas and Electric as an update. Our technology agnostic approach paired with top tier partners is showcased in our hybrid energy and green storage project with Pacific Gas and Electric. Importantly, in Q2, we received both the California PUC approval, as well as the local Calistoga municipal approvals to take the project forward at full speed for PG&E and the residents of Calistoga. In the first half of this year, we procured the hydrogen storage tank and fuel cells for the system from industry leaders Chart Industry, and Plug Power. Chart is supplying an 80,000 gallon liquid hydrogen storage tank, ensuring 48 hours of supply, while Plug provides 8 megawatt of fuel cells, making it one of the largest plant of hydrogen fuel cell projects in the United States and one of the earliest to COD as planned for Q2 2024. We chose these partners for their unparalleled industry solutions, allowing design flexibility to optimally serve our clients. Central to integrating these technology is Energy Vault's proprietary software platform highlighting our unique technology agnostic stance. We anticipate site mobilization and construction efforts on the PG&E project to begin in the fourth quarter this year and remain on schedule for project completion by mid-2024. Before handing it over to Jan Kees for a detailed walk through of our financial performance, I'd like to hit on a few highlights. Our revenue for the second quarter reflected continued construction progress and execution across our battery project in United States under a build commission and transfer model. As such, we recognized the revenue associated with that progress of $39.7 million, while continuing to post gross margins of nearly 10% on pure battery project execution. Achievement of this gross margin underscores our commitment to profitability and our differentiated approach that helps to deliver attractive margins. We anticipate the gross margin on our BESS project deployments will continue to be financially accretive as we pursue strategic investments and opportunities that enhance our offering and execution capabilities. Last quarter, we disclosed our investment in KORE Power, a U.S. manufacturer of battery cells and modules to build supply continuity on a prioritized basis for the domestic U.S. content for Energy Vault's U.S. customers, supporting our short duration battery and even hybrid energy storage solutions on a preferred economic basis. Since that time, KORE received a conditional commitment for an $850 million loan from the Department of Energy Loan Program Office to help finance the construction of KORE's -- KORE Power’s advanced battery cell manufacturing facility in Buckeye, Arizona. This facility will be capable of producing an estimated 6 gigawatt hour of battery cell storage capacity annually. And as an early investor, we will benefit significantly from this access to domestically produced content and take advantage of the IRA legislation. It improved the economics for all stakeholders, including KORE Cower, our customers, and ourselves. This access to domestic content and supply has allowed us to sign a long term partnership with Jupiter Power to supply 10 gigawatt hour of domestic U.S. content battery modules for their projects over the next two to five years. Project developers are looking for local supply to support U.S. Manufacturing efforts, but also would have to be competitive from a cost standpoint that allows for them to be competitive. And we feel very good that this investment will allow us to be positioned in the market to be the preferred partners for utilities, IPPs and renewable developers in the United States. Regarding our guidance and given the progress we have made to date and the visibility on our projects and a high level of confidence in our ability to deliver the projects to our customers on time and on budget, we are thus reaffirming our full year financial guidance, including, revenue, gross margins and adjusted EBITDA. In summary, we're poised to grow and become a prominent player in the energy storage market with our diverse solutions. Our current foundation supports faster and more profitable growth in the market as our financial and operational performance shows. I'm excited about progressing and supporting the outstanding talent and team here at Energy Vault that in the end is what sets us apart. While we have made significant industry strides in the last 18 months in delivering our first revenue as a new public company, our best is yet to come as we enter the second half of 2023 and our largest revenue quarters and customer deliveries ahead of us. With that, now I'll hand it over to Jan Kees for a detailed financial update. Jan Kees?
Jan Kees van Gaalen: Thanks, Rob. Good morning, everybody. For the second quarter of 2023 revenue was $39.7 million. Primarily reflecting revenue earned from the progress and execution of our battery projects. As we progress through the year we will see a significant revenue inflection in the third and fourth quarter as we begin to recognize revenue from the Jupiter Power and NV Energy projects that are still scheduled for on time completion in the third and fourth quarter of the year. We achieved gross profit of $3.9 million, reflecting a gross margin of just under 10% driven by our differentiated approach to the battery energy storage market combined with a strong execution on our battery projects. Operating loss was $28.4 million, an improvement over the first quarter of 2023 of $32.9 million, driven by continued focus on operating expenses and business costs. Adjusted EBITDA for the quarter of negative $18 million was a slight improvement quarter-over-quarter. The key noncash item that we added back was $10.1 million of stock based compensation. And the key noncash items that we deducted was $2.3 million in interest income. We continue to anticipate adjusted EBITDA and operating expenses to stay within our guidance range as we remain acutely focused on managing costs. As of June 30, 2023, we had $165 million in cash, cash equivalents and restricted cash, leaving us well positioned to continue our growth strategy and execute on our projects. As we mentioned before, the primary use of cash will be the cash operating expenses of between $20 million to $25 million per quarter with any other fluctuations, mainly the result of working capital needs for equipment purchases for our battery storage projects, which will translate into revenue, gross margin and cash in future quarters. Lastly, today, we are reiterating our full year 2023 financial guidance. This includes revenue of $325 million to $425 million, gross margins of 10% to 15%, and adjusted EBITDA of negative $70 million to negative $50 million. Our forecast is supported by our strong contracted backlog activity, as well as our offering mix of energy storage projects and IP licensing agreements. We will continue to complement this with various consulting and construction services based on customer needs and demand. We will also maintain a disciplined approach to operating expenses. With that, and I now turn the call back to Rob.
Robert Piconi: Great. Thank you, Jan Kees. Before getting to questions, I want to again thank the entire team here at Energy Vault for their intense focus on delivering and executing for our customers and thus our shareholders. I also want to continue to thank our investors and partners who continue to support our growth and mission of decarbonization. I'm happy of our continued progress on developing and deploying our disruptive energy towards solutions that are solving a multitude of or problem as they embark on their own clean energy journey. With that, operator, we are now ready for questions.
Operator: Thank you, sir. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] The first question we have comes from Joe Osha from Guggenheim Partners. Please go ahead.
Joseph Osha: Hello. Good morning, everyone.
Robert Piconi: Hi, Joe. How are you?
Joseph Osha: Just fine. Thank you. A couple of questions for me. First, I want to drill down a bit on this KORE Power relationship. Is the idea that you're going to buy sales from them and then work with someone else in the contract side to make [packs] (ph), or are you going to make packs? Or is KORE going to make packs for you? I just want to make sure I understand the logistics of this arrangement. Thank you. And then I do have one other question.
Robert Piconi: Okay. Sure, Joe. Yes, to be very clear, we are not getting into the battery manufacturing business. So we are not doing any type of integration ourselves. We're an early investor in KORE in their first equity raise and then you saw the announcement of their success in getting conditional approval on their DOE loan. And we are, therefore, both an early investor and prioritized customer, so for supply continuity, so they would be providing us -- providing to us the integrated battery modules, without any need for us to do any type of final system integration on our own. We also -- because of the nature of our investor status with them, we also garner other financial benefits as a part of that early relationship.
Joseph Osha: Okay. Thank you. But it's – All right. That's helpful. Moving to the Gravity side, you're continuing to make progress, commissioning Rudong. So I have two questions. First, given the insights you've gleaned so far, do you have some sense as to what a target might be in terms of cost, say, cost per kilowatt hour as you start to put up additional systems. Is that a number you can share?
Robert Piconi: We built the first system there completely locally in China, so we sourced everything from their local, Joe. So we have a -- we do have indications on what the first system unit cost is going to be. In addition, they did not implement 100% of all of our cost reduction road map, for example, with the fixed frame solution that we have using fiber reinforced concrete, for example, some of those things are going to be implemented first in the U.S. So we have initial indications from local Chinese manufacturing and local Chinese construction costs there. And then we're going to have the implementation for North America of the EVx system with our latest roadmap innovations. And, I mean, essentially, with the first system and unit we were building that out, somewhere between a $350 to $500 kilowatt hour basis. That's on a four hour system recall, which for first unit, as you know, in this business you typically take a fairly significant drop between 30% to 50% off of the initial first system basis. We're also, Joe, expanding our supply chain team including not only China, but India, and ensuring now in the U.S. that we're going to have, access to 100% local content for construction of the entire system here. So we're expecting to be as we look to move from four to six hour to eight hour longer duration systems. That's always going to, therefore, lower the power component of that cost and some of the energy components of the cost will be lowered through the lower cost of the fixed frame that we're going to be implemented in Texas. So hopefully [Multiple Speakers] little bit.
Joseph Osha: That's very helpful. Thank you. It is. And then just if we can have some sense in Texas of perhaps when you expect to break ground on that project and when -- just I know it's early days yet, what a sort of initial target might be in terms of when that system begins to operate?
Robert Piconi: Sure. Yes. We broke ground actually last year. So we broke ground at the -- officially at the end of third quarter in September last year with pilings in the ground and have worked getting the foundation in place into front end of this year. So we expect to have that system in the second half of 2024 to be essentially starting all of our commissioning activities. So I would say in about a year -- 12 to 15 months from now, we expect to be beginning commissioning activity on the system in Texas.
Joseph Osha: Okay. Thank you very much.
Robert Piconi: Thanks.
Operator: Thank you. The next question we have comes from Thomas Boyes from TD Cowen. Please go ahead.
Thomas Boyes: Thanks. Appreciate you taking the questions. Maybe first, obviously, nice to see the licensing agreement in the U.S., but could you give us a bit more insight maybe to where these additional systems could be located? I know you said multi state, but I was trying to get a sense of -- is it West Coast, Northeast, how should we think about that?
Robert Piconi: Yes. The first parts of this agreement for the states are will be in the western part of the United States. So -- and that's what I'm, I guess I'll share at this point. So it'll be Western U.S.
Thomas Boyes: Great. And then does that specifically domestically, does that kind of impact the way you think about your go to market strategy? Are you still looking to kind of build and sell projects longer term, or was this one customer because of their kind of novel application of the Gravity storage technology more of a one off.
Robert Piconi: Yeah. By the way, great question. So first of all, we absolutely will be building these directly ourselves, in particular, in North America for sure. This is a specific application and architecture of the Gravity Energy storage technology that this specific developer has been talking to many customers about developing and implementing. So we did a specific license agreement with them and essentially we'll begin that in those implementations, in the western part of the U.S. So it is not a necessarily a reflection that all Gravity will be licensed. But in some parts of the world, as we've seen, for example, with China, we announced Egypt, Greece, and Cyprus. And for some aspects of the technology the license model fits really well, because we're obviously not in the construction business ourselves. Obviously, we'll manage EPC relationships and manage the build of the projects. And this is essentially a larger construction project with electronics integration, power integration and software, and actually tends to be a very logical frame for doing these types of license agreements and for investors, Tom, they're fantastic, because we not only benefit from, essentially 90 plus gross margin on the license portion alone. But then there's the follow on royalty streams, that as we've publicly announced before, these are done at about 5%. And again, those are streams that will be at 90% plus gross margins as well. And we're not taking execution risk in that case. And I think from a business model perspective, it allows us to monetize our technology and our IP, especially for certain applications or iterations or new architectures in a way that has us garner that profit and even have that -- a lot of that profit, a little more risk free, let's say, as others can focus on getting the technology built out.
Thomas Boyes: Great. Yes. And if -- maybe if I could speak one quick one in there as a follow-up. Just is there any exclusivity in that licensing agreement based on application, but probably not on geography. I just wanted to check.
Robert Piconi: Yes, we're not commenting on the details of the agreement just yet and nor as you noticed there, we didn't name who the counterparty is, but we'll be giving some updates on that, I'd say, in the coming one to two quarters, as that develops.
Thomas Boyes: Perfect. I'll jump back in queue.
Robert Piconi: Thank you.
Operator: Thank you. [Operator Instructions] The next question we have comes from Brian Dobson from Chardan Capital Markets. Please go ahead.
Brian Dobson: Hi. Thanks very much. So congratulations on the new licensing and royalty agreement in the United States. I guess, as you're looking out over the next year or two in the U.S. market, how do you see it developing in terms of long duration energy storage? And would you characterize the DOE as a good partner in the development and promotion of that technology in terms of the programs that's devised to that end?
Robert Piconi: Sure. Let me take the first one on how we see long duration developing. So we're -- as I noted in some of my earnings comments, we are seeing with the IRA and with certain segments of the market, as we mentioned, around sustainable aviation fuel. I think there are going to be factors and accelerators to long duration here in the United States. I think green hydrogen and the production of green hydrogen where essentially you can utilize solar and long duration storage to power electrolyzers and electrolysis to make green hydrogen in a cost effective way relative to the various incentives that are out there. So those types of things, we're seeing more inbound and more customer engagement and developer engagement around the application of long duration. You would have seen that, one of our customers, DG Fuels announced not only their progress on financing in their DOE progress, but as well off take agreement for a segment of the market that is tremendously underserved for sustainable aviation fuel. So I think those types of segments for industrial applications or powering, eight to 12 hours of need. Would that be overnight for 24/7 type of power needs or manufacturing, those things are going to push a long, long duration as well as just more renewables on the grid. So we're already seeing sort of moves in some markets, from two to four hour to four to six hour. So we're just beginning to see that here in the United States. And I think while that -- I think, overall, the long duration developed a little slower than what people have thought. I think we're beginning to seeing some encouraging signs for more projects in development. The second part of your question on the DOE, I definitely think that with the programs and the priorities that [indiscernible] and the administration has about getting capital deployed is definitely a help to the industry. I mean, I use the term, do you see them as a good partner? I mean, I absolutely see that there's a willingness and desire and even motivation to try to get the capital deployed for its intended purpose. And we're participating in various parts of those programs, and all of that is going to be net helpful to us. And we just saw from -- as we mentioned KORE power, they announced their conditional approval with the DOE moving along, and that's for -- that's for $850 million to build their facility in Arizona. So everything we're seeing tells us that there's a strong commitment there but not only commitment, but funds are flowing and companies are progressing through that process.
Brian Dobson: Yes. Excellent. Thanks very much for that color.
Robert Piconi: Thank you.
Operator: Thank you. The next question we have comes from Noel Parks from Tuohy Brothers. Please go ahead.
Noel Parks: Hi. Good morning.
Robert Piconi: Hi, Noel. How you doing?
Noel Parks: Great. Thanks. Just a few things. As you look into the longer term of some of the projects that you have in queue or working on negotiating. I just wonder if you could talk a little bit about the EPC vendor piece of that. I just wonder as you look further out, are there any issues as far as just availability, staffing availability, anything like that that gives you any concern as you as you look out beyond for this the next couple of years in your planning?
Robert Piconi: Noel, it's a great question. And what I'd say is, initially as we entered and went into the second half of 2022 and the first half of this year, one of the adjustments we had to make is to be a little more directly involved in some of the management of the project from a construction perspective. And by that, I mean, as far as EPC goes, we're handling the E, we're playing a very active role in the P or the procurement side, because there's just a few major pieces of equipment between transformers and inverters. If it's short duration, batteries, if it's longer duration, it’s the large motor. So we aren't talking about a massive amount of things to procure or things in high volume, okay? Because of that, it lends itself for us to be a little bit more actively involved with minimal cost to manage some of those vendor relationships and roadmaps on the procurement side, so we can get priority on what we need. And that engagement we've had in the P side of EPC has helped us execute, deliver well. That's why we -- if you look at our Q4 last year, we did $100 million quarter because we did very well on managing that execution side a little more hands on. So we played a little more active role in there, which I think is where your question is going, then we had intended also on the construction side in the sense of -- the larger EPC companies we're seeing are very busy and they have a lot on their plate and therefore, if you're looking at competitive pricing, we initially saw pricing that was above what we were planning and expecting. And, as a result of that, we chose to play a little more active role in being more directly involved with some of the management of the construction contractors themselves. I'd say on the shorter duration solution, it's easy to do that because you don't need massive EPC companies to build those projects out. You can use a smaller localized construction companies. And we found that to be a good way to get competitive solutions to the table, having multiple local companies that either the customer are familiar with or we would have direct relationship with. And in one of the cases actually, one of them we were able to reuse on a second project already, that's just about to get started. So, I'd say to net all that out, we're managing and prioritizing our resource in order to ensure we have not only the most competitive solutions, but as well as priority from the local players on schedule and the ability for us to essentially manage the whole equipment side of that in a way that can meet our customer commitments. And I'd say, if you look at our results and what we've guided here, even for the second half of the year, we've got some two massive quarters coming. And we've got two very large triple digit million quarters. So we've been very careful about the selection of our partners and working with our customers and expect to execute well.
Noel Parks: Great. Thanks a lot. And that was touching on really what I was wondering about, because I just heard anecdotally a number of large projects by companies that, sort of that stage of early commerciality administered some anecdotes of sort of the EPC selection out there for them not being as robust as they had expected, plenty of bids from competitors, but when it came down to the detail, and in particular, the staffing, finding that, wow, we're really down to essentially only one candidate that worked. And, so that kind of what’s behind the question.
Robert Piconi: Yes. I'll make just one comment on that, if I can. You you're right on, we had that experience a year ago as we started thinking about things on a global basis and talking to some larger players and it, between getting priority and pricing, that just wasn't going to work. And anytime you're implementing new technology as a smaller company, the bigger ones don't want to take risk, number one. And it does limit your options as an intercompany. That's one of the reasons we, funded up heavily in our Series B at -- with the commitment we had from SoftBank and then a large Series C. So the reason we did that is to ensure we were going to have the capital to do some of these things ourselves, given it's a tough market when you're a young company and trying to get the attention of some of the larger folks. I think right now, we're in a little different position. I'd say we executed well our first year and our executing this year. And I think, we're actually seeing some players come and work with us that want to learn how we're innovating, for example, in the civil and structural engineering and are willing to do that at their own cost. Yes. So which is a reflection, I think, of what we're doing, in and around, automation, constructability, material science and the very advanced structural engineering that is not being done in the world around in a general way and others really want to learn about that and are willing to work with us in that regard. And that's definitely going to economically help us out.
Noel Parks: Terrific. And if I could just, touch on one more thing. You did mention that the future shows Energy Vault solving a multitude of customer problems. And, I was wondering is there a distinction between your utility customers looking, for example, to integrate with renewables at a large scale, and maybe industrial customers or others that are maybe looking at your storage solutions more as, you mentioned data centers earlier in the call, more as like a micro grid type application where it's not so much about the integration. It's about sort of the resiliency for their own operations. Are those essentially very similar discussions to [indiscernible] I mean, no matter what the motivation or are there some meaningful differences?
Robert Piconi: Yes, it's different based on the customer set and every customer set has their own applications, and I'll just give you a few of them. When we're dealing with utilities, most of them and most of the market in the U.S., they're solving for this two to four hour peak, essentially, that takes place and hence this focus on short duration. However, some of those same utilities have coal plants that they're going to shutting down. They have all that infrastructure sitting there and they want to essentially try to use renewable and put in longer duration storage and leverage that existing --those large interconnects to connect to the coal plants, for example. So that same utility that has that short term need to manage the peak shaving and those their early evening or their early morning, they have other needs as they do their long term planning for shutting down their fossil fuel assets. And then -- I'll give you a third example, again, sticking with utilities, look at Calistoga, you've got utilities in certain parts of the world that have to be able to provide solutions in the event of fires or earthquakes, and in some cases, that means a multi-day storage type of application. And hence, we brought green hydrogen to the table, integrated with tanks, fuel cell and a small amount of lithium ion for grid forming and black start to create a renewable solution that didn't exist. So what I just walked through, if you look at just with the utility segment, I walk through the short duration need, the long duration need that's coming as we're shutting down fossil assets, and the multi-day storage need when they're trying to do backups for events or what's called PSPS, plan safety power shutdowns and outages. So that's just one segment. I would say if you go to the industrial segments, I mean, sustainable aviation fuel or green hydrogen, you're looking at long duration there, that's going to be required eight to 12 hour. And if you look at our investor base, I think you're aware that Saudi Aramco BHP, Korea Zinc and their group of companies Sun Metals and ARC Energy. These are big industrials that are looking at six to 12 hour need whether that be because they want to make green hydrogen or they want to power themselves 25/7 in a renewable way. So it is very diversive. I mean, I've just talked through our sets of customers and utilities, and some of the industrials. There's the IPPs that are -- that fit more the utility model or serving the utility model. But as you can see, it's very diverse. And hence, if look at Energy Vault, I think we're unique as a company in energy storage addressing short, long, and multi-day or ultra-long duration. No one else is doing that. The insights we're getting from our customers that have to solve multiple problems is amazing. And we listen and we're prioritizing our R&D efforts to ensure we can support them, whether that be with something we develop or an integration of other best-in-class technology that's sustainable and low cost, we can integrate and bring those solutions to the customer.
Noel Parks: Terrific. Thanks a lot.
Robert Piconi: Thank you.
Operator: Thank you. [Operator Instructions]
Robert Piconi: Sorry, operator. Are there any more further questions or no? We're all done.
Operator: There are no further questions registered.
Robert Piconi: Okay. All right. Operator, thank you very much. And I want to thank everyone for joining this call and listening in here and look forward to continuing the dialogue here in another quarter and updating everyone on our progress. Thank you very much.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude today's conference. Thank you for joining us. You may now disconnect your lines.